Operator: Good morning, and welcome to the Newmont Mining 2016 Second Quarter Earnings Conference Call. All lines will be on listen-only mode until we open for questions and answers. Today's conference is being recorded. If anyone has any objections, please disconnect at this time. And I'd like to turn the call over now to Meredith Bandy, Vice President, Investor Relations. Ma'am, you may begin.
Meredith H. Bandy - Vice President-Investor Relations: All right. Thank you, operator, and good morning, everyone. Welcome to Newmont's second quarter earnings conference call. Joining us on the call today are Gary Goldberg, President and Chief Executive Officer; and Laurie Brlas, Chief Financial Officer. They and other members of our executive team will be available to answer questions at the end of the call. Turning to slide two, before we go further, please take a moment to review the cautionary statements shown here or you can refer to our SEC filings found on our website, newmont.com. And now, I'll turn it over to Gary on slide three.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thank you, Meredith, and thank you all for joining us this morning. I'm pleased to report another strong quarter and continued progress on delivering our strategy, which is to improve the underlying business by making our operations safer and more efficient, building a stronger portfolio by self-funding five high margin projects, and announcing the pending sale of Batu Hijau and to create value by generating solid earnings, lowering debt and returning cash to shareholders. Turning to specifics on slide four, comparing quarter-on-quarter performance, in the last year, we have lowered total injury rates by 6%, reduced all-in sustaining costs by 4% to $876 per ounce and increased gold production by 7% to 1.3 million ounces. Portfolio improvements for the quarter include: announcing an agreement to sell our stake in PTNNT for total consideration of $1.3 billion; progressing Long Canyon, Merian and expansions at Cripple Creek & Victor and Tanami on time and on budget; and reaching a decision to fund Northwest Exodus, a profitable expansion at Carlin that will begin producing gold later this year. These performance and portfolio improvements helped us generate exceptional value. Quarter-on-quarter, we increased free cash flow fourfold to $486 million, improved EBITDA by 16% to more than $800 million, lowered net debt by another 13% and maintained our gold price linked dividend. Strong performance starts at our operations. Turning to slide five, we've lowered our total injury rates by 54% since 2012, and we continue to make progress toward our ultimate goal, which is to send everyone home safely every day. This photo shows the maintenance crew at Phoenix, who recently reached a milestone of three years working without any injuries. I also want to acknowledge our team at Cripple Creek & Victor, who just reached four months working without injuries, our operation's best safety performance to-date. Safety and efficiency go hand-in-hand. We've been able to lower injury rates from 3.7 to 0.4 injuries per 200,000 hours worked since we acquired CC&V last August. At the same time, we're on track to achieve our targeted savings and to complete the new valley leach facility and recovery plant well ahead of schedule. Turning to slide six for more on operational performance. We drove all-in sustaining costs down to $852 per ounce in the first half of 2016. These savings were driven by higher volumes, sustainable cost and efficiency improvements, and favorable oil prices and exchange rates. We've reduced costs by 28% since 2012. Nearly two-thirds of these savings are the result of higher production at lower cost operations and improved efficiency across the portfolio. Our costs also benefited from lower capital spending. Sustaining capital is tracking lower partly due to timing, but we're also seeing sustainable savings as the year progresses. Turning to production on slide seven, second quarter attributable gold production was up 7% from the prior-year quarter, primarily due to new production from Cripple Creek & Victor, which helped boost North American volumes by 27%, improved grades and throughput at KCGM and Tanami, and strong performance at Ahafo. These increases more than offset declining production at Yanacocha where we're mining lower grade and transitional ores. In the second half, we expect to see stronger production at Cripple Creek & Victor and Carlin, along with new production coming on line at Merian. The chart on the right shows the limited impact selling Batu Hijau would have on our full-year 2016 gold guidance giving stronger production from the rest of the portfolio. I'll take a minute to review the PTNNT sales agreement on slide eight. Last month, we announced an agreement to sell our 48.5% economic stake to Indonesian buyers for total consideration of $1.3 billion. This amount includes gross cash proceeds of $920 million and contingent payments of $403 million tied to metal price upside and development along. The transaction is expected to close in the third quarter following regulatory approvals and satisfaction of other conditions precedent. The sale aligns with our strategy. First, it improves the underlying business by monetizing future production to fuel further balance sheet and portfolio improvements. Second, it strengthens our portfolio by lowering risk. After deal close, about three quarters of our production and reserves will be located in the United States and Australia. Gold will also make up 92% of our reserves. Third, it creates shareholder value. Cash proceeds will be used to repay debt and self-fund our best projects. Turning to our current projects on slide nine, Merian is now 90% complete. Cash calls are current through the quarter. And we remain $100 million below initial budget estimates. Reduced capital costs support an improved internal rate of return, which is now in the low 20% range. On the ground, more than 100,000 contained ounces of gold have been stockpiled and commissioning is proceeding on course. This keeps us on track to reach commercial production later this year with first gold poured in the third quarter. We also continue to see strong exploration results, both beneath the current pit and elsewhere in the concession. Long Canyon is not far behind at 80% complete. This photo shows first ore being placed on the leach pad about two months ahead of schedule. The project remained on budget and on track to reach commercial production in early 2017. Q2 exploration results are very encouraging and mineralization remains open in all directions. As a reminder, the internal rate of return for this project at $1,200 gold was in the high teens. Moving from the new mines to expansions, the CC&V expansion includes a new mill and leach facility. The mill is designed to improve recovery of higher grade ore and represents about 20% to 25% of total production. Plan modifications are complete and throughput continues to improve. The valley leach facility began first production in March, a month ahead of schedule. And the recovery plant will be complete by the year-end. The Tanami expansion involves building a second decline in the underground mine and adding incremental capacity in the plant. We completed the 3,200-meter decline in April, three months ahead of schedule and mill demolition is complete and the expansion remains on track to reach full production next year and to deliver an internal rate of return in the mid 30% range. Recent exploration results at Tanami confirm the potential to double the current reserve base by expanding existing deposits and developing adjacent discoveries. These four projects: Merian, Long Canyon and the two expansion projects, will add up to 1 million ounces of annual production at average all-in sustaining costs of around $700 per ounce over the next two years. With that, I'll hand it over to Laurie for financial results.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Thanks, Gary, and good morning, everyone. I'm very pleased to report that we delivered a great quarter with some exceptional financial results. I'd like to start with income turning to slide 12. Newmont reported second quarter GAAP net income of $0.04 per share or $0.09 per share from continuing operations, excluding the $0.05 loss for discontinued operations related to the Holt royalty. We reported second quarter adjusted net income of $0.44 per share, an increase of 69% over the prior-year quarter. The primary adjustment to adjusted net income is a $0.34 per share non-cash tax valuation allowance. I'd like to spend a minute to explain this a little bit. With the filing of our 2015 tax return, we have the opportunity to carry back losses and receive a refund of the taxes paid in 2013. However, that transaction reduced the likelihood that we will use some of our foreign tax credits in the near term. Those credits are not gone, but we did put a valuation allowance on them due to the reduced likelihood that we would use them soon. The transaction, overall, resulted in an immediate cash inflow of $83 million. Turning to slide 13 for a look at our second quarter operational performance, strong earnings performance has been underpinned by production growth and continued cost reductions. Gold prices have also continued to rise, averaging $1,260 in the second quarter, up around 7% from the same quarter last year. Second quarter gold sales increased over 10% compared to last year with, notable increases at Tanami, Ahafo and KCGM. That and the addition of Cripple Creek & Victor resulted in volume increases that more than offset the declining production in Peru. Gold CAS has improved $5 per ounce from the prior-year quarter, and gold all-in sustaining costs have improved $33 per ounce; both benefiting from the higher volumes and some tailwinds from oil and the Australian dollar. As Gary mentioned, we expect to see continued production and cost improvements in the second half of 2016 as CC&V and Leeville ramp up, and especially Merian coming on line. Turning to slide 14 now for a summary of the second quarter financials. Increased production along with higher gold price enabled us to significantly improve our revenue, which is up $130 million on the same quarter last year. This and our strong cost performance resulted in adjusted EBITDA improvement of 16% over the prior-year quarter. Adjusted net income increased 76%, reflecting continued excellent performance across the portfolio. During the quarter, we also generated positive free cash flow of $486 million, a fourfold increase over the same period last year, indicating the robust nature of the business and illustrating our ability to benefit from the upside opportunities. Free cash flow did benefit from $111 million in corporate tax refunds, including the $83 million I mentioned already, and an approximate reduction of $100 million in accounts receivable. We maintained our gold price linked dividend of $0.025 per quarter or $0.10 per year. It's certainly worth noting that if today's gold price is maintained, our gold price linked dividend would double in the third quarter. And as we've mentioned previously, we do plan to reassess the dividend payout later this year as we go through our 2017 business planning process and would expect to be able to adjust it given our strong cash performance. Now turning to our capital priorities on slide 15; on this slide, you can see the primary sources and uses of cash in the quarter and how we applied them to deliver on our capital priorities. Our operations have generated over $1.3 billion since the start of the year, which we deployed to fund profitable growth. In fact, more than half of our year-to-date capital expenditures of $591 million were development capital for our projects at Merian, Long Canyon, Tanami and CC&V. And we've also repaid debt. We've repaid over $640 million of debt during 2016. The vast majority of that debt was paid early, lowering our future interest costs and highlighting our comfort level for future cash generation. And we've also returned cash to shareholders, maintaining our quarterly dividend. And as I mentioned, our gold price linked dividend policy offers investors additional upside at higher gold prices. We do expect our liquidity to further improve in the second half of the year with the close of our announced sale of our Batu Hijau interest. Turning to slide 16, we ended the quarter with consolidated cash of $2.9 billion, of which nearly $2.2 billion is attributable to Newmont. Upon the close of the PTNNT transaction, attributable cash will increase by the cash proceeds less the cash held at PTNNT, for an increase in attributable cash of approximately 25%. The transaction is effectively a tax efficient way to bring forward Batu Hijau Phase 6 cash flows, with additional contingency payments of $403 million as compensation for future development optionality. And as you can see, ending up here with adjusted attributable cash of over $2.7 billion. The sale of Batu Hijau also impacts the debt side of the equation. Turning to slide 17. Strong organic performance, assisted by fair value asset sales, has allowed Newmont to continue to improve the balance sheet. Current net debt to EBITDA of 1-time is expected to rise a little bit following the sale of Batu Hijau before returning to our existing downward trend. This is not far from our long-term target of 1-times net debt to EBITDA at $1,200 gold. As I mentioned earlier, we've repaid more than $640 million of debt year-to-date and we continue to expect debt repayment of $800 million to $1.3 billion between 2016 and 2018. The sale of Batu Hijau would eliminate the remaining $190 million of PTNNT debt on our balance sheet. We're within our targeted range and now have the financial flexibility to further increase or accelerate debt reduction. Lastly, I'll talk about our financial performance compared to our competitors. Our three-year cumulative free cash flow leads the industry, allowing us to pay down debt, invest in value accretive projects and pay dividends to our shareholders. Our disciplined capital allocation process has ensured that we invest this cash in our highest return projects resulting in very competitive returns on capital employed. In conclusion, Newmont's balance sheet remains extremely strong giving us the financial flexibility we need to execute our proven strategy. And now, I'll turn the call back over to Gary.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Laurie. Turning to slide 20, this slide shows our all-in sustaining costs guidance excluding Batu Hijau. We reduced our 2016 guidance by $10 per ounce, which reflects improvements in North America, Australia and Africa that will more than offset the sale of Batu Hijau. We also lowered our long-term guidance by $20 per ounce or about 2% through the addition of low-cost production at Northwest Exodus and lower oil price assumptions. Upcoming growth projects, along with full potential savings beyond 2016, could improve costs by another $25 to $75 an ounce in the future. Turning to production guidance on slide 21, we expect attributable gold production of between 4.7 million ounces and 5 million ounces in 2016, down slightly from prior guidance due to the pending sale of Batu Hijau. Improved grades at Twin Creeks are expected to partly offset that reduction. In 2017, production is expected to increase to between 4.9 million ounces and 5.4 million ounces as new projects come online. Longer term guidance remains unchanged at 4.5 million to 5 million ounces. It's worth noting that Batu Hijau would not have been a major contributor after 2017, when Phase 6 ore production winds down. Turning to capital on slide 22, our outlook calls for stable and disciplined sustaining capital expenditures to cover infrastructure, equipment and ongoing mine development. These expenditures are expected to rise slightly in 2017 to cover equipment rebuilds, water treatment and tailing storage facilities. Longer term, we expect to hold sustaining capital of between $700 million and $800 million per year. Development capital guidance covers current approved projects including Merian, Long Canyon and expansions at CC&V and Tanami. These figures may change as we consider our next tranche of profitable projects. Turning to our pipeline on slide 23, I'll walk through what's changed since the last quarter. As I mentioned, we approved funding for Northwest Exodus last month and the project is under construction. Quecher Main at Yanacocha and Morrison at KCGM advanced to definitive feasibility. We expect development decisions on these two projects in 2017. Estudio Integral is moving to prefeasibility and has been streamlined to focus on sulfide developments within Yanacocha's existing footprint. I'll cover this in more detail shortly. Finally, we added a team underground to the exploration and conceptual phase based on promising drill results. Turning to more details, Northwest Exodus is a profitable expansion located about 900-feet from the existing underground mine in the Carlin north area, sustaining capital of between $50 million and $75 million will be used to extend the underground mine while leveraging existing infrastructure. The project adds more than 700,000 ounces of gold production beginning later this year and extends mine life by seven years. Lower cost production will also reduce Carlin's all-in sustaining costs by an average of $25 per ounce during the first five years of production. This project is expected to generate an internal rate of return of more than 30% at a flat $1,200 gold price. Extending the underground mine and infrastructure also creates a platform to support future growth in this highly perspective district. Turning to Africa on slide 25, the Ahafo Mill Expansion is designed to leverage existing infrastructure to build capacity and improve costs. The expansion is expected to offset lower grade ore and accelerate profitable production of stockpiles. Developing the Subika Underground mine would deliver higher grade ore to the Ahafo Mill and create a platform to explore the region's promising underground potential. We expect to reach decisions on both the Ahafo Mill Expansion and Subika Underground mine in the second half of 2016. Turning to South America on slide 26, we've been assessing options to profitably extend the life of Yanacocha beyond 2019 under the banner of Estudio Integral, which focuses on deposits located within our current operating footprint. As a result of our studies to-date, we're pursuing development of Quecher Main. This incremental oxide deposit would extend the life of the operation to 2024 with average annual gold production of about 200,000 ounces beginning in 2019. Current capital estimates are between $275 million and $325 million, and we expect to reach a funding decision in the second quarter of 2017. We're also proceeding with prefeasibility studies to explore development of Yanacocha's gold, copper, sulfide deposits. Based on current estimates, these deposits have the potential to further extend profitable production starting in 2022. Prefeasibility studies are expected to take two years, and will coincide with work to improve relations with communities and government leaders whose support will be critical for this investment. Return on investment would need to exceed 15% for us to proceed. Turning to our market outlook on slide 27. Low or even negative real interest rates are making gold an increasingly attractive investment. Concerns about slower global economic growth and weaker domestic employment have forced the fed to be more cautious about raising interest rates. The markets now anticipate no or at most one rate hike in 2016. Inflation is also trending upward, driven by higher consumer spending and wages. We're seeing more money flowing into gold on the back of these trends. Turning to slide 28. As I mentioned, depressed interest rates continue to drive global investors towards safe haven products, such as bonds and gold. As a result, longer-dated bond yields in the U.S. have declined significantly and global ETF gold holdings have increased by more than 17 million ounces or nearly 40%. Despite these positive signs, our strategy remains the same. And I'll end by reiterating our disciplined approach to managing our operations and investments through the cycles, on slide 29. We built a solid foundation over the last three years and we continue to improve our performance, portfolio and balance sheet through the first half of 2016, but we're not relying on rising gold price or resting on our laurels. Our goal is to be the world's most profitable and responsible gold business. And you can count on us to continue delivering safer and more efficient operations, a portfolio of longer life lower cost assets, an exceptional project pipeline and exploration record and a stronger balance sheet. Thank you for your time. I'd like to now turn it over to the operator for your questions.
Operator: Thank you, Sir. We will now begin the question-and-answer session. And for our first question, it's from Andrew Quail from Goldman Sachs. Your line is open.
Andrew Quail - Goldman Sachs & Co.: Good morning, Gary and Laurie. Thanks very much for the update. Congratulations again on a very strong quarter. Just a couple of questions. First with the Tanami, obviously, a very good quarter there. Can you give some sort of guidance on the grade going forward there at Tanami?
Gary J. Goldberg - President, Chief Executive Officer & Director: Give me a second to look that one up. I'm not across the details on that one.
Andrew Quail - Goldman Sachs & Co.: (25:33)
Gary J. Goldberg - President, Chief Executive Officer & Director: If there's another question while I (25:34) look that one up.
Andrew Quail - Goldman Sachs & Co.: Yeah. I suppose the other one is, the two projects in Ghana, although it's pretty much at one, the Ahafo Mill Expansion is the big (25:43), you've got the -infrastructure is there. Is there something holding that up, any sort of permits or anything holding that sort of approval up, Gary?
Gary J. Goldberg - President, Chief Executive Officer & Director: No. I think, we're going through the normal process of community consultation and working with the regulatory authorities there, the EPA, to work through that permit approval process.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: And we've continued to optimize that as we signed additional work and that's part of just our normal process of making sure we layer in the cash flows and the work appropriately.
Andrew Quail - Goldman Sachs & Co.: And do you think that will be something we hear about in the second half of 2016?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Absolutely, yes.
Andrew Quail - Goldman Sachs & Co.: Okay. Good. Before that Tanami one, you've seen one of your peers actually explore or actually conduct some producer hedging. I'm just wondering if I get your comment on that, Gary. Sorry, Laurie, what that would mean to Newmont, are you guys looking anything like that on the currency side or even on the commodity side?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: No. We've done a bit of currency hedging, but certainly on the commodity side, we feel that our balance sheet is strong enough to manage where we're at and we want to make sure that that upside all accrues to our investors.
Gary J. Goldberg - President, Chief Executive Officer & Director: And to be clear, the last of that currency hedging we basically unwound and we're letting the rest of that runoff here, which will happen by the end of, well, maybe the next year.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yeah. We monitor the market, but haven't added any currency hedges in a couple years.
Gary J. Goldberg - President, Chief Executive Officer & Director: And back to your Tanami question, really no major change in grade expected here going forward. I think what you've seen in that range is consistent with what we expect going forward.
Andrew Quail - Goldman Sachs & Co.: Okay. Thanks, guys.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Andrew.
Operator: Okay. So, for our next question is from John Bridges from JPMorgan. Line is open, sir.
Gary J. Goldberg - President, Chief Executive Officer & Director: Hello, John? Operator, we're not hearing John.
Operator: Just a second please, sir. Your line is open Mr. Bridges.
John D. Bridges - JPMorgan Securities LLC: Can you hear me now?
Gary J. Goldberg - President, Chief Executive Officer & Director: Now we've got you, John, thank you.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yeah.
John D. Bridges - JPMorgan Securities LLC: Okay. Wonders of modern technology. Congratulations again on your results and the beat. The project Integral, the Chaquicocha thing is, is that it or are there other things prior to these prefease that you're talking about? Because that's going to leave the project quite light on production. Are there other things that you're looking at in the shorter term?
Gary J. Goldberg - President, Chief Executive Officer & Director: In terms of what we expect for production, we had initially expected end of production in 2019. What this does is, extends this out at about 200,000 ounce a year rate through 2024. Pending the results of the prefeasibility study on the work on the gold, copper, sulfides, we could see production as early as 2022, but we've got to go through those studies to really confirm it. In terms of other areas of production, I don't see anything that I would introduce at this stage based on what we're looking at.
John D. Bridges - JPMorgan Securities LLC: Okay. And then the African projects, Ahafo Mill and Subika, is it just you getting comfortable with the gold price that supports that and generates a decent return, or are there still a few things that you're looking at before you make a decision?
Gary J. Goldberg - President, Chief Executive Officer & Director: Really a combination of getting engineering work done, and having that getting the permits to a point where we're comfortable that we can proceed and then bringing it forward for final approval.
John D. Bridges - JPMorgan Securities LLC: Okay, great. I'll get back in the line. But many, many thanks and congrats.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, John.
Operator: And for our next question, it's from Mr. Jorge Beristain from Deutsche Bank. Line is open, sir.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Hey, good morning, Gary and Laurie, and again congrats to you and your team on strong results. I guess, my question is just a few on the Quecher Main project, how should we think about that in relation to the overall Yanacocha production profile over the next few years? When you say that it's sustaining production at 200,000 ounces, do you mean that's incremental production or that allows you just to sustain the totality of Yanacocha at 200,000 ounces? That's my first question.
Gary J. Goldberg - President, Chief Executive Officer & Director: The latter is correct. The totality would be at 200,000 ounces from – on an average, from 2019 going forward through 2024.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Perfect. Thank you. I probably just invented a word there. The other question I had was on Conga. Anything you can fill us in on the latest kind of political sentiment in Peru toward that, and could you see reigniting Conga any time sort of before 2020?
Gary J. Goldberg - President, Chief Executive Officer & Director: No. We basically have put Conga on the shelf for now, pending, seeing a significant change in the local support for that project. I do think that election changes there are a positive sign in terms of what we've heard the President say about the potential to see development and work more closely with local communities and seeing that development. But for the time being, I don't see us in the current price environment, in the current social climate moving that project forward before 2020.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Thanks. And if I could just squeeze one last one in, with the sale of Batu, obviously, your complexion and exposure to copper is diminishing. How should we think about your balance sheet now with all of the additional cash? If you were to sort of put your marginal chips down on metals on a go-forward basis, could you see re-upping your copper exposure or are you kind of sending the message now that you're very happy to stay mostly golden? Just trying to understand what your thinking is.
Gary J. Goldberg - President, Chief Executive Officer & Director: No. Good question. I think where we are with our two copper gold producers still in Phoenix and Boddington, so, we still have a place in the copper concentrate market and in producing copper cathodes at Phoenix. When you look at our greenfield exploration, we are really about half of that greenfield exploration is focused on copper gold areas. So, we're not going away or moving away from copper gold, but clearly, our expertise and when you look at our pipeline, I think the next project in there that really is a copper gold project is Estudio Integral, the great copper, gold sulfide resource there that we need to figure out how to be able to bring on in an economic way. So, we're not really moving away from copper, but clearly our production is going to be very gold-centric here going forward.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Perfect. Thanks very much.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you. And for our next question, it's from Garrett Nelson from BB&T Capital Markets. Line is open.
Garrett Scott Nelson - BB&T Capital Markets: Thanks. Congrats on another great release. On a sequential basis, it looks like what really drove the strong results on the costs side was CC&V. Your CAS was down. It looks like a little over $90 an ounce and production basically doubled from Q1. In addition to the benefit of first production from the leach pad there in March, can you talk about some of the other things you've done there since acquiring it last summer to drive down the mine's cost and improve operating performance?
Gary J. Goldberg - President, Chief Executive Officer & Director: No. It's a good question. And when we acquired CC&V, we indicated that we expected to be able to reduce mining costs by about 10%. And the team there has done a really good job. Things like our contract for tire purchases is an example, as a detail in terms of being able to acquire tires for quite a bit lower than what they were acquiring the tires for before we got involved. I think we continue to look at different ways to improve efficiency. And we've seen that. You're spot on. We did see the higher production in the second quarter as we got first production out of the new leach facility there. So that helped the divisor and helped the overall costs. I think as we go through our plans and preparations here to look through our 2017 budgets, I'll be looking to see where we can get more than just the 10% in terms of mining cost improvements. I'm looking at our COO next door to me here.
Garrett Scott Nelson - BB&T Capital Markets: Okay. And then what's your best guess right now for when you expect Batu Hijau sale to close? Can you get any more specific just for modeling purposes?
Gary J. Goldberg - President, Chief Executive Officer & Director: I think when you look at the different closing – pre-close requirements, we're still looking at a 60-day to 90-day window at this stage. So, I think the best we can give at this stage. We are progressing, working with the buyer and working with the various government approvals that we need to get and the other stages that are in there. So, it's all moving forward, but we do need, fairly complex transaction and need to work through all the different details.
Garrett Scott Nelson - BB&T Capital Markets: Great. Thanks very much, Gary.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thank you, Garrett.
Operator: Thank you. And for our next question, it's from John Tumazos from John Tumazos Very Independent Research. Your line is open.
John C. Tumazos - John Tumazos Very Independent Research LLC: Thank you very much for taking my question. Two if I could, Gary. First, could you just review the change in the long-term crude oil price assumption in a little more detail and what the price might be by year. And second, now that the Indonesian theater is out of the picture, how do you think you and the team will reallocate focus? Will the extra time be spent on Yanacocha oxides or copper sulfides or Conga or Merian or preventing malaria in Ghana? What's the next battle you're going to fight with all that time freed up?
Gary J. Goldberg - President, Chief Executive Officer & Director: Well, in regards to helping with malaria in Ghana, I think we actually have made some really good strides on that one already. It's a good thing we've got good folks on the team who know how to help with those things. First of all, on your oil price question, we've taken our long-term oil price assumption from $65 a barrel to $50 a barrel in those assumptions. So, we'll continue to keep an eye on that, but that's the change you see reflected, in part, along with the Northwest Exodus and the changes to our longer term cost outlook that we provided in guidance. In terms of focus, clearly, we're focused now on making sure we get a successful transition. As I've said, our Batu Hijau is a great mine with great employees, want to make sure we give a good handover of the operation to the buyers. So, a lot of focus on that here over the next three months. And we've got four, now five, with Northwest Exodus projects that are going through in some cases their final stage; Merian bringing that online successfully is a big focus; Long Canyon, early next year; Tanami getting that through; and the rest at CC&V; and then of course, Northwest Exodus. So, I want to make sure the team's focused on continuing to bring those projects online, on budget or below and on schedule or sooner than schedule. So, that's really the big focus. I think exploration wise, we continue to see that as a core competency with the team here and our ability to add to existing operations and the work we're doing in the greenfield areas that we've shown on some prior slides in the past in terms of exploration in different areas around the world continues to be a focus for us.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: The only thing I'd add to that would be projects in Ghana. Assuming we continue to bring those forward in the back half of the year, that will be quite a few projects that we will have up and running in our process at the same time. So, that'll be a big focus.
John C. Tumazos - John Tumazos Very Independent Research LLC: Thank you, and congratulations.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, John.
Operator: Thank you. And for our next question, it's from Anita Soni from Credit Suisse. Line is open.
Anita Soni - Credit Suisse Securities (Canada), Inc: Good morning, Gary and Laurie. Thanks for the update, and congratulations on the results. My question is just regards to the dividend policy. So, Laurie, you mentioned that it would double if the gold price remains the same. But could you give us some perimeters around what kind of percentage in free cash flow payout ratio that you're looking at? I think you've talked on the call with the divesture of Batu Hijau about revisiting that grid itself because of cost reductions and ability to generate free cash flow.
Gary J. Goldberg - President, Chief Executive Officer & Director: Yeah, I'll start off with that, Anita. I think what we targeted when we put the current gold price linked dividend payout schedule together and that was about a year-and-a-half, almost two years ago now, was based on the way we saw our production and cash flow out over the next several years tied in with our need to continue to pay down debt and invest in projects. And that was based on about a 20% to 25% of our free cash flow paid back out in the dividend. As we look at the progress we've made on debt reduction over the last couple of years, the progress we've made on projects and the reduction in the cost in some of those and the continued improvement in the cost and efficiency of our operations that gives us the opportunity to look at changing the slope and changing the payout amount. And we're going to look at that. We review our plans for the next five years at the board meeting in October, our 2017 plan as we call it. And as part of that, we'll review whether we want to change that payout percentage, once again looking at what the cash needs will be for debt reduction, for investment in projects and also for returns to shareholders. So that's the process that we'll be going through here in the next three months.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yeah. And the only thing I would add is that when we did adjust the dividend the last time we said, we had to make a real priority on debt pay down. And we've made so much progress as Gary said that we feel comfortable that we could probably make less of a priority on that as particular aspect going forward.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. So, you revisited with the board meeting in October and that would be to address 2017 dividends?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yes.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. And second question is with regards to CC&V, just on from an operational standpoint, I think you had previously said that it would be back-end weighted to the second half of the year and you posted a very strong second quarter. If that kind of run rate continues for Q3 and Q4, you would probably be pushing the top end of your guidance range even just on throughput, even if the grade dropped again. So, I'm just wondering what the rationale right now is for not guiding upwards on CC&V at this point?
Gary J. Goldberg - President, Chief Executive Officer & Director: I want to make sure that they get the recovery facility bedded down good and operating well there. Right now, we're taking the carbon over to process over at the original leach facility. That needs to come online. So, just, it's more a matter of being cautious to make sure we get the rest of the project finish before we modify that production guidance.
Anita Soni - Credit Suisse Securities (Canada), Inc: All right. Thank you very much. Congrats again.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Anita.
Operator: Thank you. And for our next question, it's from David Haughton of Canadian Imperial Bank of Commerce. Line is open.
David Haughton - CIBC World Markets, Inc.: Yes. Good morning, Gary and Laurie. Thank you for hosting the call. Gary, you pointed out that in 2017 that the sustaining CapEx is going to take a step up with the number of projects that you've got on the slide deck. Can you give us an idea whereabouts those projects will be, a little bit of an idea as to which mines we should be attributing that higher sustaining CapEx to?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yeah. The water treatment you'd see some of that in Ghana, I think a little bit more in Peru quite frankly in terms of where those are, tailings facilities, Ghana as well. And I'm trying – we'll give obviously more detail on it when we do our guidance here and present that later this year for the future five years.
David Haughton - CIBC World Markets, Inc.: Okay. So, it's not universally spread around. It's just a couple of key projects that you've got to undertake in 2017. So, it's not just a widespread lift.
Gary J. Goldberg - President, Chief Executive Officer & Director: Exactly.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yeah.
David Haughton - CIBC World Markets, Inc.: Okay. And then just I think now you were talking about Ghana, I presume that for the go ahead for Ahafo and Subika, are these the kind of projects that you're also looking at higher than 15% IRR at $1,200? Is that the kind of hurdle that you would have in mind to give it a green light?
Gary J. Goldberg - President, Chief Executive Officer & Director: I definitely see both of those projects standalone being able to achieve that type of a hurdle rate. And then, there's synergy value of doing them both together. So, we'll give more details on that at the time that we would approve the project and announce it to the market.
David Haughton - CIBC World Markets, Inc.: Okay. So, oh, we're really waiting on here is just due process of board consideration, allocation of capital. It seems to have ticked a lot of boxes from the permitting and the social license point of view and the IRRs, is just a matter of process now. Is that a reasonable way to assess it?
Gary J. Goldberg - President, Chief Executive Officer & Director: That would be a good way to look at it.
David Haughton - CIBC World Markets, Inc.: Northwest Exodus, would you be reporting that separately or would it just sort of be part of the Carlin underground feed that we currently see in your quarterly reporting?
Gary J. Goldberg - President, Chief Executive Officer & Director: It would be part of the Carlin underground feed that you see. And this year, we had about 5,000 ounces. And just to talk about it, we've got a ventilation raise and then the fans to put in which would occur by the end of the first half of next year and then further development, really it's into 2018 before you see Exodus up to full production. Getting that ventilation raise and also helps gives us air so we can get out further towards the Northwest beyond what you saw in the one slide to the right and access more areas for exploration.
David Haughton - CIBC World Markets, Inc.: All right. Thank you very much, Gary.
Gary J. Goldberg - President, Chief Executive Officer & Director: Great. Thanks, David.
Operator: Thank you. And for our next question, it's from Andrew Kaip from BMO. Line is open.
Andrew Kaip - BMO Capital Markets (Canada): Hi. Good morning, Gary and Laurie. Congratulations on the quarter. Look, I've got a couple of questions. One, Laurie for you, you've been quite successful at looking at taking loss carries back and benefiting from application. I'm just wondering are we going to see more of that opportunity arise or are the last two quarters something that was just a benefit of that you've been able to realize?
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: Yeah. A lot of times you see that type of thing in the first half of the year as you file your tax return for the previous year. So, the team will continue to focus on that, and I do think our tax team does a great job of focusing on cash. Sometimes you see this volatility in the P&L, but we've got them focused on cash, which I think is most important. You'll probably continue to see the volatility in the P&L, but I don't think you'll see the refunds from a cash standpoint. In fact, we may see some a little bit of working capital flipping in the back half of the year.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Great. Thanks. And then, Gary, on Merian, you're getting pretty close to commissioning. And I'm just wondering, first of all, what are the main items that your teams are focused on to complete construction? What would you identify as really the critical pass at this point in time? And when should we be thinking that commissioning activities begin?
Gary J. Goldberg - President, Chief Executive Officer & Director: We really have been in the middle of commissioning activities currently. When you look at things like power station, that's been tested and commissioned and handed over to operations. We're now in the process of beginning to test the mill, and doing that with waste to make sure that all of the different elements of that work well. So, we're kind of working through from there into the rest of the system. I mentioned we've got quite a bit of ore already stockpiled there. So, we're in good shape from the mine standpoint and all set up. So, it's really now just going through the different steps of commissioning and handing over to operations to different facilities. The team's done really a great job in constructing the facility and looking forward to it producing first gold here later this quarter.
Andrew Kaip - BMO Capital Markets (Canada): Are there any construction activities continuing, or are they really just winding down at this point in time?
Gary J. Goldberg - President, Chief Executive Officer & Director: Really the major things are all complete. We're now in the wind down. We've been winding down now for several months in terms of the number of contract employees working there to build the operation. So, we're now into that stage of really switching over to commissioning and punch lists.
Andrew Kaip - BMO Capital Markets (Canada): Okay. All right. And then at Yanacocha, if you're going to contemplate the sulfide development and move it forward, what kind of processing circuit should we be expecting? Is there going to be a component of refractory processing that will be required?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yeah. It's really a two-step process. It's not so much refractory. I guess, depending on what you call a copper, gold, sulfide concentrate, I'd never called that refectory in my past life. But I guess, where it needs ongoing processing beyond that whether it's a smelter, which you could do in this case or what we have been studying and testing actually here in Denver at some of the labs is using an autoclave to separate the copper and the gold out from that concentrate, and also put the arsenic in a stable form for storage. And that's really the arsenic that's the challenge here in terms – the technical challenge that we're working through. We believe we have a technical path. We've got to work through the different steps. The other part of this process would involve a copper leach process. And we've been testing the bioleaching and the FXEW (48:20) process. Actually, it's not only Integral for recovery of copper from the leach pads, but it also would be Integral with the part of the process post processing concentrates through the autoclave to produce the copper. So, it's a little complex. And we're working through the details, but that's at a high level with different components we're going to be using.
Andrew Kaip - BMO Capital Markets (Canada): Is there a potential to develop or produce a saleable copper concentrate albeit with higher arsenic content?
Gary J. Goldberg - President, Chief Executive Officer & Director: You could produce it, but there's very few places in the world you can get that processed, and you'd suffer big penalties as part of that by diluting. There is a small part of the ore body that has lower arsenic, so you could segregate and produce some concentrate for sale with a lower arsenic concentrate. That would be part of the detail we'd be going through in the mine planning, but that wouldn't be something that supports a concentrator in its own right.
Andrew Kaip - BMO Capital Markets (Canada): Okay. All right. Thank you very much.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you. And then for our next question, it's from Lucas Pipes of FBR & Co. Line is open.
Lucas N. Pipes - FBR Capital Markets & Co.: Hey. Good morning, everybody. I wanted to maybe ask a little bit more broadly on your capital allocation strategy. You have a very strong balance sheet. Your free cash flow generation has been incredibly impressive. When I look at slide 18, your ROCE and free cash flow per share compare very well against your competitors. So, Gary, first, where do you think share buybacks fit into kind of your use of capital considerations? And then secondly, how do you think about M&A in the current gold price environment? Thank you.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thank you, Lucas. I think in regards to share buybacks, it sits a little further down the list. I think more importantly, we'll look at what changes we'd make to the long-term dividend payout before that would fit into any consideration. And I think the fact that we do have a gold price linked dividend, we do take into account higher cash flows as they come from the higher gold price and look to share that back with shareholders. In terms of M&A, we were successful last year with our acquisition of CC&V in a lower gold price environment at a time when AngloGold needed the cash. And it was an opportunity that we were able to capitalize on and we see that in the results in terms of how that fits in. Where it makes sense, where it fits and improves the quality of our portfolio is something we'd always consider, but it's got to be done at a value that makes sense to us and to our shareholders.
Lucas N. Pipes - FBR Capital Markets & Co.: Got it. And in terms of the kind of geographic footprint, do you like your current exposure? So, should we be thinking about maybe add-ons and the right fits within that context or after the Batu Hijau sale maybe with other emerging countries that could find their way into your portfolio?
Gary J. Goldberg - President, Chief Executive Officer & Director: I think the expertise we have in the current operating regions is good, and it's good to leverage that expertise there in the first instance. You look at the projects that we have in line at Ghana that we've talked about for consideration not only later this year, but out into the future with Ahafo North and other potential underground developments, one that I mentioned that we've added to the list at Akyem. Clearly, the regions that we're in we're comfortable with. There's a couple areas exploration-wise I pointed out in the map before that we're looking. Ethiopia would be one area that we're looking at, very early stage development. We're looking in the northeast part of Australia, in Queensland, obviously in a region that we understand well. So, we'll continue. We always look at all of the operations we have, projects and then external opportunities on the same value versus risk matrix, where we look at value in terms of NPV and return. We look at mine life and the position of the asset on the cost curve. Risk will look at the geopolitical risk and the technical risk of the asset. And if it's something that can improve our portfolio characteristics overall then it'd be something we'd consider.
Lucas N. Pipes - FBR Capital Markets & Co.: Very helpful. Thank you very much.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Lucas.
Operator: And therefore our next question is from Tanya Jakusconek from Scotia. Line is open.
Tanya Jakusconek - Tahoe Resources, Inc.: Good morning, everybody. Congratulations on a good quarter.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Tanya.
Tanya Jakusconek - Tahoe Resources, Inc.: Okay. I have two questions, Gary. I can't let you get away without talking about Yanacocha again. So, my first one is on Yanacocha. Can we come back to the sulfides, the Integral, can you remind me exactly how many ounces are we talking about there, gold contained?
Gary J. Goldberg - President, Chief Executive Officer & Director: I'm going to have to take a look. I've got to check that one before I can come back to you.
Tanya Jakusconek - Tahoe Resources, Inc.: Yeah. I'm just trying to understand, yeah, just how many ounces is in that deposit and the internal rate of return of that greater than 15%. Is that still in $1,200 gold price?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yeah. That'd be looking at our current longer term assumptions hurdles that we like to see achieved at $1,200 gold and at a $2 copper price.
Tanya Jakusconek - Tahoe Resources, Inc.: Okay. I'm just making sure that these sulfides don't require a higher gold price. So, it's not gold price pendant, it's more metallurgical that we're focusing on. And then at the same time, I know we're just focused on this Integral, but when we look at the whole Yanacocha sulfide camp, do we have an idea of how many ounces we're talking about? I've tried to find it. I just can't.
Mary Lauren Brlas - Chief Financial Officer & Executive Vice President: How many ounces, I don't know the answer to that. We're going to have to get back to you, Tanya, on that.
Gary J. Goldberg - President, Chief Executive Officer & Director: We'll have to get back on that one.
Tanya Jakusconek - Tahoe Resources, Inc.: Okay. That would be appreciated. And then my next question and moving on to Ghana and back to the Ahafo Mill Expansion, I noticed that you tweaked your production profile for the Ahafo Mill Expansion downward by 25,000 ounces for the first five years. Can you talk a little bit about what's changed there?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yeah. It's a bit of how you might bucket the capacity between both the mill expansion and I mentioned the synergies with the underground. So, we're continuing to work through in the feasibility study what the final amount is as we go through it, and then provide more detail here as we would announce the project's progression later this year. Just coming back on your question on Estudio Integral, and I know that using those types of prices we see 5.7 million gold equivalent ounces in that potential development. And that's a mixture, obviously, about what I would say, probably about one-third gold and two-thirds copper at this stage, but that still moves around a little bit.
Tanya Jakusconek - Tahoe Resources, Inc.: Okay. Thank you for that. And I'll wait for the entire camp ounces when you have that number. But just coming back to the Ahafo Mill Expansion, and I understand ultimately you're trying to see what's coming in from the expansion and what's coming in from the underground, but the underground didn't change. So, it's sort of, I've lost this 25,000 ounces. I know it's small on an overall basis. So, I'm just wondering if you just didn't tweak up the Subika Underground or...
Gary J. Goldberg - President, Chief Executive Officer & Director: We'll get more detail as we bring it forward here in October to provide you and the rest of the market. Some of it's just better understanding of grades too because we've been doing lots of drilling and all the different elements or hardness figures into that as well.
Tanya Jakusconek - Tahoe Resources, Inc.: Okay. And so, there is maybe something in the greater hardness that has caused this reduction?
Gary J. Goldberg - President, Chief Executive Officer & Director: Yeah. We'll run through and provide the detail in terms of how we expect both the plan and the plant to be operating.
Tanya Jakusconek - Tahoe Resources, Inc.: Okay. I guess I'll have to wait for October then. Okay. Thank you.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thanks, Tanya.
Operator: Thank you. And that'll be all for the phone-in questions. I would like to turn the call back to Mr. Gary Goldberg.
Gary J. Goldberg - President, Chief Executive Officer & Director: Thank you all for joining the call this morning. The Newmont team delivered another great quarter, and I'd like to thank them. Our sites are set on raising our performance to the next level. This means moving from one of the safest companies in the mining sector to one of the safest among all industries, taking our asset portfolio from good to great, building a strong and diverse talent pipeline and maintaining leading environmental, social and governance practices and generating the financial flexibility we need to fund our best projects, repay debt and return cash to shareholders. Thank you again, and have a safe day.
Operator: Thank you, sir. Thank you, speakers. And that concludes today's conference. Thank you all for joining. You may all disconnect.